Operator: Good morning, and welcome to the Norwegian Cruise Line Holdings Fourth Quarter and Full Year 2019 Earnings Conference Call. My name is Daniel, and I will be your operator.  As a reminder to all participants, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Andrea DeMarco, Senior Vice President of Investor Relations, Corporate Communications and ESG. Ms. DeMarco, please proceed.
Andrea DeMarco: Thank you, Daniel. Good morning, everyone and thank you for joining us for our fourth quarter and full year 2019 earnings call. I’m joined today by Frank Del Rio, President and Chief Executive Officer of Norwegian Cruise Line Holdings; and Mark Kempa, Executive Vice President and Chief Financial Officer. Frank will begin the call with opening commentary, after which, Mark will follow to discuss results for the quarter and full year as well as provide guidance for 2020 before handing the call back to Frank for closing remarks. We will then open the call for your questions. As a reminder, this conference call is being simultaneously webcast on the company’s Investor Relations website at www.nclhltdinvestor.com. We will also make references to a slide presentation during this call, which may also be found on our Investor Relations website. Both the conference call and presentation will be available for replay for 30 days following today’s call. Before we discuss our results, I would like to cover a few items. Our press release with fourth quarter and full year 2019 results was issued this morning and is available on our Investor Relations website. This call includes forward-looking statements that involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with the cautionary statements contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and presentation. With that, I’d like to turn the call over to Frank Del Rio. Frank?
Frank Del Rio: Thank you, Andrea and good morning everyone. We have a lot of ground to cover today and we fully understand that there is one topic on top of everyone’s mind. So while we will address the coronavirus outbreak in detail, I will begin my commentary first with a brief overview of our record 2019 financial results, after which I will turn to 2020 and discuss the impacts of the outbreak. We aim to be as transparent as possible, but with the virus situation as fluid as it is and with so many unknowns at this time, please understand that there may be questions you have to which we simply will not be able to give you definitive answers to. So let’s begin. The 2019 storyline for Norwegian Cruise Line Holdings can be best described in one single word, resilience, a theme that will surely carry over into 2020 as they confront the effects of the virus outbreak. Focusing on just 2019 and with headwinds from the sudden cessation of cruises to Cuba and the impact of Hurricane Dorian the year that just ended allowed us to demonstrate once again the strength and resilience of our business model. A model founded on operating three award winning global brands in each of the industry’s major categories; a focus on sourcing the best guests from around the world, but anchored in North America consistently diversifying our deployments and quickly redeploying vessels as needed depending on market conditions; and our go-to-market strategy of emphasizing value over price as the main lever to drive demand.
Mark Kempa: Thank you, Frank. Unless otherwise noted, my commentary compares 2019 and 2018 net yield and adjusted net cruise cost, excluding fuel per capacity day metrics, on a constant currency basis. In addition, unless otherwise noted, 2020 guidance figures exclude any direct and indirect impacts of the COVID-19 outbreak. We continue to monitor this situation and its potential impact to our results. I’ll begin with commentary on our fourth quarter and full year results followed by our 2020 outlook. As you can see on Slide 8, strong revenue performance in the fourth quarter, driven by strong pricing for close-in bookings and better than expected onboard revenue drove earnings above expectations with adjusted EPS of $0.73, beating guidance by $0.04, inclusive of the previously disclosed $0.09 impact from Hurricane Dorian and $0.04 of headwinds from foreign exchange rates.
Frank Del Rio: Thank you, Mark. We continue to focus on strengthening the foundation for our company’s future growth. As you can see on Slide 16, several of the initiatives underway demonstrate our deepening commitment to enhancing our environment, social and governance strategy. One of these initiatives was the launch of a dedicated ESG department which will coordinate closely with departments across the organization as well as with the technology, environmental, safety and security committee of our Board of Directors. From our commitment to greater female representation on our Board of Directors, which was recently recognized by the Women’s Forum of New York to our significant contributions to emergency relief in the Bahamas after Hurricane Dorian and in Australia to help combat the devastating bushfires, our company has stepped up in meaningful ways. On the environment front, we receive positive marks, a B minus in our first disclosure to the Carbon Disclosure Project better known as CDP. We are also focused on developing key port infrastructure. This spring, we will officially unveil the Pearl of Miami are stunning game-changing terminal right here at Port Miami, which is being constructed to LEED Gold standards and where we first welcomed nearly 25% of all guests we board annually. We also continue to develop several projects in Alaska to ensure and enhance our presence in this important and very profitable market. These initiatives marked the latest steps in our continual efforts to strengthen our presence in strategic ports and destinations around the world. Lastly, we were incredibly pleased with the reception of Regent’s newest ship Seven Seas Splendor, which has outperformed her record-setting sister ship, Seven Seas Explorer, who was introduced in 2016. And coincidentally, after her Transatlantic crossing from the shipyard, Splendor arrived in Miami today to prepare for her christening. Splendor is truly magnificent and deserving of her billing of luxury perfected. She is resonating with both new and loyal past guests alike, which is why she is garnering the highest yields in our fleet. And I’ll bet the highest yields of any Ocean cruise ship in the industry. I look forward to showing her off to our valued past guests, travel partners, media, and the investment community throughout her upcoming inaugural sailings and at her christening ceremony, which will be held tomorrow evening at a black-tie affair at Port Miami. Before turning the call over to Q&A, I like to leave you with some key takeaways from our call today on Slide 18. First, the company once again demonstrated the resilience of its business model in the face of several significant headwinds and delivered another year of record financial results in 2019. Second, we entered 2020 in a record book position with strong booking activity through late January, prior to the impact of the coronavirus outbreak. We have taken aggressive and proactive steps to protect our guests, crew and our long term brand equity by modifying, canceling or redeploying 40 sailings to significantly reduce our exposure in Asia. And lastly, we continue to lay the foundation for our future growth, including initiatives around ESG, port infrastructure and new build. And with that Daniel, I like to open the call for Q&A.
Operator: Thank you, Mr. Del Rio.  Our first question comes from Harry Curtis with Instinet. Your line is now open.
Harry Curtis: Good morning, everybody. My question is related to your comment, Frank, about not getting too excited, at least being too early about the notion of current bookings stabilizing. I think it’s probably worth giving additional color on that. And particularly, what are your agents saying about their customers rebooking interest at this point, particularly in some of the markets that really have not been impacted domestically in Continental Europe and Alaska? What are they seeing there?
Frank Del Rio: Yes. Thank you, Harry. Look, as I said earlier, business was just sailing right through to the end of January, and then the virus really became a headline news. And as you know, the cruise industry was at the forefront, unfortunately, of headline news for reasons that we know. And that has caused near panic in the traveling public. And so we’ve seen a meaningful decrease in new bookings, we have seen meaningful increases in cancellation, not just for our Asia sailings, but throughout the deployment. And the decrease in bookings is similar to what we see – we have seen in past similar events, whether they be geopolitical during the financial crisis, et cetera. What’s a little bit different about this one is the increase in cancellations. The good news is that over the last five booking days beginning Saturday, that decline has moderated. So that we are no longer seeing week-over-week acceleration in the declines of bookings and increasing cancellations, we’re seeing a moderation and I’m hopeful. And again, I could only say hopeful because it’s five days does not make a definitive trend. But I’m hopeful that we’ve seen the worst of the booking slowdown, and we can begin the healing process that, as we’ve seen in the past, typically takes about eight weeks to after the end of the peak new cycle before consumers return to more normal. But our travel partners, our business partners tell me that what they’re seeing across their broad portfolio of business is similar to what I’m talking about. Business is soft, people are scared to travel, not just on cruise ships. But first, on airplanes, in many cases, long-haul destinations do require customers to, first, get on an airplane before they get on a ship. And right now, we have – people are scared. People are worried. And until we see the leveling off of new cases, the cruise industry, not being the poster child for the virus. This may continue for some time.
Harry Curtis: Thank you, Frank.
Operator: Thank you. Our next question comes from Stephen Grambling with Goldman Sachs. Your line is now open.
Stephen Grambling: Good morning. Thanks for taking the question. As a follow-up, just on Coronavirus and the $0.75. Can you just quantify how much of this is from cancellations, modifications, on Asia itineraries cancellations on other itineraries and/or any impact that’s estimated to net yields in existing markets for moving ships? Thanks.
Mark Kempa: Hi, Steve, it’s Mark. Yes. So the $0.75 is what we know today for all of our canceled and modified sailings. We were very explicit to say that this does not take into account any sort of indirect potential impacts on future demand. So as we said in our prepared remarks, we had over – we had 40 sailings, which were somehow impacted, 21 of those have been redeployed out of Asia to Eastern Europe, Eastern Med with a very short condensed booking window. But more importantly, we cancel – outright canceled 10 voyages, eight of those voyages came off the OCI and Regent brands. And you have to remember, those are very long lead booking itineraries with very high Per Diems. Those voyages were completely sold out. And they span a time period over the next two to 2.5 months. So we canceled though. That’s a significant impact for us. So we have not taken into account, we just do not have enough information to give a reasonable assessment of what the future could look like from a softer demand picture.
Stephen Grambling: Great. And maybe a very quick follow-up. Frank, you mentioned that the consumer spending typically are returns eight weeks after the peak of the news cycle. When you look at the data, do you typically see a catch-up in demand as that alleviates? Or does it take effectively a full year of lapping that to see the normalized trend?
Frank Del Rio: No, it doesn’t take a full year, but it’s not instant mashed potatoes either. I mean, there is somewhat of a modified V-shaped, U-shaped return. But we saw it in – last time, we saw this was in 2016 after the string of geopolitical events that occurred. 2017 was a very good year. 2018 was even better. So again, it all depends on the duration, severity extent of this very fluid situation.
Stephen Grambling: Great. Thanks so much. Best of luck.
Operator: Thank you. Our next question comes from Felicia Hendrix with Barclays. Your line is now open.
Felicia Hendrix: Hi, thank you so much. And thank you for the very clear data in this confusing time. Frank, I was wondering if you could talk about your strategy on price integrity. I know you said you’ve been seeing a small improvement in the past five days in terms of bookings and cancellations, and you just touched upon that again. But can you discuss how you’ve been thinking strategically about stimulating demand and how sacred are your strategies to not use price as a demand driver? And then I just wanted to clarify something that you said, just in terms of your prior kind of goals, the full speed ahead. I know that you have the $0.75 impact and that affects free cash flow and all that. But given where our estimates are in terms of free cash flow in 2020? I mean, it seems like a little bit of a drop in the bucket. So just wondering if you’re opting to keep your powder dry? Or will you seek to take advantage of the stock price dislocation?
Frank Del Rio: Good morning, Felicia. That was seven or eight questions in one. I’ll try to remember them all.
Felicia Hendrix: It was one question. It was a long one.
Frank Del Rio: I’ll take the last one first in terms of our cash flows. Look, any time, you lose $0.75 of earnings per share, cash is impacted and all the other metrics that revolve around earnings get impacted like ROIC, which is why we’ve withdrawn our full speed ahead targets, at least through 2020. Look, we’re going to look at the overall situation, the risk reward profile, the price of the stock to see how we move forward with our capital allocation. We’re still committed as much as ever to return meaningful capital to shareholders. As you know, when the year began, the thought was that we were going to continue taking advantage of dislocations in the market of our stock price, with the hope that we can introduce a dividend in the back half of the year. While I don’t want to say that those goals are off the table for this year. I think those goals may be more difficult to achieve this year, given the unknowns surrounding coronavirus. Pivoting to the question of pricing and how does this affect our go-to-market strategy, I will tell you that we’re not going to allow what we believe is a temporary situation to derail us from our long-term proven go-to-market strategy of focusing on value to consumers over using low price as a lever to stimulate demand. Having said that, given what we’re seeing in Q2 primarily, and what our competitors – how our competitors are reacting you’re going to see pricing action across the spectrum, we need to stay competitive. But we will not do it in a way in which we believe will hurt the long-term brand equity and our long-term desires to increase pricing year-over-year. I remind you that there are companies that have not yet returned to their pre-financial recession back in 2008 yield levels. And that is something that we guard with our lives literally. So I think you’re going to see because of competitive pressures, some pricing deterioration in the short term, we will focus, again, the way we go-to-market with value-focused offers as opposed to outright decreases in price. But I think, overall, I think you’re going to see yields decrease in the short term.
Felicia Hendrix: I just want to clarify. When you said – I just wanted to know when you say, you will see some pricing deterioration in the short time, you mean among competitor, not from you?
Frank Del Rio: Well, I think, us as well I mean, we can’t just stick our head in the sand and say, we’re not going to respond. We’re going to compete in the marketplace with that elusive customer, we do it in a way that does not have price as the main driver. But I imagine and I forecast that you will see a combination of pricing action from us, but heavily skewed towards, again, the value proposition to lure that customer that may be out there.
Mark Kempa: And Felicia, this is Mark. One other thought on our cash flow question. We’ve been very vocal to say that we are going to be free cash flow positive this year. And we still intend to be free cash flow positive. We are spinning off significant amounts of cash. So while this does put a small dent in the outlook, it certainly does not derail us.
Felicia Hendrix: Thank you.
Operator: Thank you. Our next question comes from Steven Wieczynski with Stifel. Your line is now open.
Steven Wieczynski: Yes, good morning, guys. Mark, if we go back to the $0.75 impact that you guys called out. I want to clarify something. I guess, does that $0.75 assume those canceled sailings don’t get rebooked? And I guess, a better way of saying that is we use Norwegian Spirit, for example, are you assuming any kind of yield contribution from those changed itineraries? Or are you just assuming those 21 Spirit itineraries are canceled? I guess, what I’m saying here is it seems like that number might be a little bit high to us.
Mark Kempa: So I will answer that question in two parts, Steve. So the first part is, of the 10 canceled sailings, we are not trying to resell those. So that is a definitive loss of revenue. On the remaining sailings that primarily the Spirit, yes, we are redeploying her. We are putting her back on sail. But what you have to remember is we are essentially starting from zero. It’s not an itinerary, where we went from region A to region B that was right next door where you can lure the customer in. So we’re essentially starting from a zero base. So we do anticipate that there’s going to be some yield dilution on that itinerary. So it really represents a delta on what we were expecting to get out of Asia with the Spirit versus the close-end nature out of the Eastern Mediterranean.
Steven Wieczynski: So if Spirit actually books out okay over the next couple of months. That $0.75 would be lowered. Is that fair?
Mark Kempa: You’re absolutely correct. If it exceeds our expectations on rebooking and getting her back to a good load factor where we anticipate we are certainly going to take price action. We’re not going to leave price on the table if the demand is there.
Steven Wieczynski: Okay. Got you. And then, Frank, we’ve gotten a lot of questions from investors over the past couple of weeks about – what’s the – and this is impossible to probably say, but I think there’s a fear that this virus is going to have a material long-term impact on bookings and crews, in general. And with headlines of Diamond Princess being called a floating prison and stuff like that. I think investors are absolutely panicking right now that this is going to linger for a long time. And I guess, the question is how do you counter that? Or how do you – do you think this is just another kind of blip on the radar and things will go back to normal? Or how would you kind of attack that?
Frank Del Rio: Yes. Look, nothing is permanent. Consumers do have a relatively short memory, thank God. We have seen in the not-too-distant past other major events affecting the cruise industry that will quickly overcome and that may be brand or company specific. One of the reasons we took the aggressive action that we took in canceling cruises and moving complete – the fleet completely out of Asia, is that we don’t want a repeat of what happened in Japan to refer to any of our brands. So among the things that we have done, Steve, is to withdraw our fleet from Asia. That is a big step one. Luckily for us, we’ve never had a major presence in Asia, less than 6% of our annual capacity was deployed to Asia. We had zero base in the Chinese market, which is the market, I think that we’ll take it on the chin in the short-term more than anywhere else. And we’re good marketers. We know how to market our product. We market value over price, and I think that our go-to-market strategy will serve us well in these challenging times, more so than if all we did was drop price. So I remain confident that the long-term viability of this company is superior to others in the marketplace, whether it’s on the cruise industry or the broader travel industries. It’s a great, young fleet, new ships, exciting products to offer, terrific management team. And so while no one wants to go through what we’re going through today, especially on the heels of what was a great 2019 and what promises to be even a greater 2020, I think that the long-term earnings potential of this company, the cash flow generation of this company, the way that we’re going to grow earnings, ROIC and return meaningful capital to shareholders has not changed.
Steven Wieczynski: Okay. Thanks, guys. Appreciate it.
Operator: Thank you.  Our next question comes from Brandt Montour with JPMorgan. Your line is now open.
Brandt Montour: Good morning, everyone. Thanks for taking my questions. I just wanted to talk about the 1Q guidance ex virus. I’m just trying to understand, maybe you could remind us what the Cuba impact was in the 1Q as well as one of your larger peers had a – in 1Q that also kind of surprised people on the downside and maybe called out Australia and bushfires and a couple of other things. So I was wondering if there was any other things you could kind of peel back for us in trying to understand maybe the like-for-like clean net yield in the 1Q? Thanks.
Mark Kempa: Hi, Brandt, this is Mark. So as we’ve said in prior commentary, the Cuba impact was the main drag year-over-year when we look at the first half. And that primarily, obviously, that impacts both Q1 and Q2. So we’ve said that Cuba this year, on a rolling basis, is about $0.20 to $0.25 of yield impact. That’s split relatively evenly between Q1 and Q2. There’s a bit of a delta there. But that is the – when you look at the yield, that’s the core headwind that we’re looking at ex the coronavirus. As we said in our prepared remarks, our brands prior to this outbreak, were doing well. We were booked ahead. We were booked at higher prices. We haven’t touched on it much today, but our onboard revenue, when you look at our Q4 onboard revenue, it continued to perform very, very strong. We had great results in our first month of 2020, January, it exceeded our expectations. And even onboard revenue now that consumers who are on the ship today, they are still spending more and more money across the Board. So once the consumer is there, they’re not afraid to spend. So but Cuba was a tough comp. So – and we’ve always said, upside, apart from that really comes on the back of onboard revenue.
Brandt Montour: Thanks for that extra info, that’s helpful. And then just quickly on the virus situation in sort of the shorter-term bookings commentary that you guys have made. You’re looking at the data, are you seeing any sort of differentiation between customers that are booking sort of any shifting preferences to locations that are further away from Asia or other areas that might be sort of deemed "safer’? Anything like that you can call out?
Frank Del Rio: The impact of the virus on bookings and cancellation has been pretty even across the Board. When you peel back the onion and do a deeper dive. What we’re seeing is, especially by the American customer, those destinations that they deem to be safer are faring better than others. So for example, Alaska and the Caribbean. They’re closer to home. In many cases, you don’t have to get on an airplane to get to the Caribbean ports those seem to be doing better than some of the more exotic or far-flung destinations.
Brandt Montour: Great. Thanks a lot guys.
Operator: Thank you. Our next question comes from Thomas Allen with Morgan Stanley. Your line is now open.
Thomas Allen: Can you quantify how many sailings and passengers carried you’ve had year-to-date? And then how many cases of coronavirus you’ve had?
Frank Del Rio: Are you kidding me? Do you know who you’re talking to, which company you’re talking with? There is absolutely zero. There’s been only one company with coronavirus outbreaks, one, and it’s not us.
Thomas Allen: So could you say how many sailings you had So that people understand that you’ve had lots of sailings?
Frank Del Rio: Dozens. Dozens of sailings. Dozens. Next question, please.
Thomas Allen: So a follow-up question, is there a way to quantify how – if bookings were – so I assume the commentary you’ve made so far about bookings being weaker has been for about the past month. If bookings went back to normal tomorrow, is there a way to quantify the indirect impact?
Frank Del Rio: There will be no indirect impact.
Thomas Allen: But you said there’s been weak bookings for about a month so…
Frank Del Rio: Next one up on the lineup please.
Operator: Thank you. Our next question comes from Jared Shojaian with Wolfe Research. Your line is now open.
Jared Shojaian: Hi. Good morning, everyone. Thanks for taking my question. I will ask a non-coronavirus related question, just given the amount of focus so far. On the CapEx guidance, can you just talk about why that came up for 2020 and 2021. And the initial guidance for 2022 is also higher than I would have expected. I think it’s a record year. So can you just talk about what’s driving that? Why raise CapEx at this specific time? And then what kind of flexibility do you have to reduce CapEx if needed? Thank you.
Mark Kempa: Hi, Jared, it’s Mark. So certainly, we have flexibility to reduce certain CapEx where needed. It’s always a delicate balance because, of course, you don’t want to damage the brand for short-term gains. We – this is a long-term business, and it’s – and we want to continue investing on that. But of course, we always have plan B and plan C should be needed. In relation to the CapEx for 2020 and 2021, the increase is primarily as a result of a couple of our new building contract becoming effective. If you look back into all of our Q filings, we had not included in our contractual commitments, shipyard payments related to the two Oceania ship vessels and the third Explorer vessel, and subsequently, over the course of the quarter, two of those contracts actually became effective wherein that we received authorization from the Italian export credit agency, and we’ve been very explicit on that in all of our filings. So it’s not necessarily an increase in general CapEx. It’s just the fact that that our new building CapEx is coming online for effective contracts.
Jared Shojaian: Okay. Thank you. And then I guess, pre-virus, you were guiding 2% to 3% yield growth? Or that’s what you’re guiding, excluding the coronavirus impact given all that you’ve said and all that we know in terms of 2020 was shaping up very well. Demand in wave season is really strong. You’re lapping the Cuba effects. You’ve got new accretive ships coming on, a lot of marketing spend, I guess, 2% to 3% yield doesn’t really seem to tie to as well as the environment would have seemed to have been. So can you maybe just help me understand what went into that 2% to 3% yield growth? And any chance that you may have been somewhat conservative in that number? Thank you.
Frank Del Rio: Well, it’s early in the year. And I think, as we’ve always said, we tend to take a – a bit of a cautious approach. Yes, bookings were doing very, very well prior to the outbreak. And we’ve always said that we guide 2% to 3% on the top line. We do have Splendor, which is coming online, that will be accretive to our corporate yields. That’s going to be somewhat offset by the Encore, which we’ve said we think the combination of the two of those are really going to be a net neutral. And then we’re rolling over some of the incremental or rolling over the annual season of Encore. So certainly, 2% to 3% is our range and outperformance on that would come from both revenue and ticket and on board. And as I said earlier, on-board has been doing very well despite what’s going on in the marketplace. So I think that would have been the key variable.
Jared Shojaian: All right. Thank you very much.
Operator: Thank you. Our next question comes from Paul Golding with Macquarie. Your line is now open.
Paul Golding: Thanks for taking my question. So the first piece of the corona sort of remediation here with the Eastern Med Spirit redeployment. I was wondering if there was any more detail you could give around yield, how that might comp just as far as what’s baked into the $0.75 impact?
Mark Kempa: Well, I think what you’re referring to is in terms of what are our expectations around the Spirit in the new market. And I think I had commented on that with Steve, is that, listen, it’s a very short booking window. That is a great itinerary. We do expect to receive some pricing and load that would not be commensurate with our typical expectations, just given the short nature of the booking window. So there is a delta of what we believe that we can actually extract out of that market versus what she was planned to do, but we’re going to do everything in our power to garner as much price as we can. But again, more importantly, we’re starting from zero, and it’s a very short window. We have to keep that in mind.
Frank Del Rio: And we don’t want to stray from our go-to-market strategy. And therefore, you’re not going to see the kind of pricing action that would require us to have in the marketplace to fill that ship, especially with only two, three, four months runway compared to the typical 15 to 18 months runway that cruise lines give themselves to fill a failing. So it’s too early to tell what the yield impact is on the differential between what the ship would have done, had she stayed in Asia under normal circumstance, what the ship would have generated in Asia had she stated under the current circumstance and what she will actually perform, we’ll have to wait and see.
Paul Golding: Understood. And then just looking at the new terminal in Miami, is there anything that we can start to think about as far as potential tailwinds from that, anything from the dynamic with how you price cruising out of there? Anything that’s not in guidance from that?
Frank Del Rio: Well, look, anything we can do to make our cruises out of Miami, which is our number one port of embarkation, more attractive, I think, will certainly help attract a higher level of customers, which we’re always after, because we know that those who pay the most to get on spend the most once they’re on. Daniel, we have time for one more question.
Operator: Thank you. And our final question comes from Tim Conder with Wells Fargo. Your line is now open.
Tim Conder: Frank, first of all, thank you, and we appreciate your passion, your love for zero, in particular. So I did want to reconfirm, though, that the $0.75 that is what you know as direct impact. So any of the impacts that you’re seeing indirectly that’s not in the $5.40 to $5.60 guidance. So there’s some unknown piece of the indirect, just to reconfirm that we should anticipate there’s some other number yet unquantifiable. Is that fair?
Mark Kempa: Tim, that is exactly correct. It is the $0.75 is only what we know from our canceled sailings and some level of differential on the Spirit. It explicitly does not include any indirect impact from general softness in the cruise space. We just simply cannot quantify that at this point on a reasonable basis.
Tim Conder: Okay. Very, very fair. Very fair. And lastly, total other question here, fuel. Mark, you gave the updated guidance for 2020, what should we anticipate the mix of your fuel? You talked about how due to IMO 2020, that’s going to jump this year, just maybe update us on that number. But then how should we see as the cadence of that coming, maybe going to something normal out in 2022 or whenever may be. How do you see that progressing from the mix from 2020 to 2021 to 2022?
Mark Kempa: Yes. Certainly, so mix shifted today in 2019 and prior, we were burning about 30% MGO. It went to about 60% MGO this year. And with our exhaust gas scrubber program in place, in 2021, we anticipate that it will level out somewhere around the 50%. And thereafter, all of our new builds that would come online in the following years would simply help reduce that 50%. So I would say for 2021 and 2022, it’s going to be about a 50-50 mix, and then we’ll see some slight decrease thereafter each year.
Tim Conder: Okay. Thank you all.
Frank Del Rio: Okay. Thanks, everyone, for your time. And for the most part, your informed questions. As always, we will be available to answer any other questions you have later today. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.